Operator: Good afternoon, ladies and gentlemen, and welcome to Eni’s 2015 First Quarter Results Conference Call hosted by Massimo Mondazzi, Chief Financial and Risk Management Officer. For the duration of the call, you will be in listen-only mode. However, at the end of the call, you have the opportunity to ask questions. I’m now handing you over to your hosts to begin today’s conference. Thank you.
Massimo Mondazzi: Thank you very much. Good afternoon and welcome to our first quarter results presentation. In this quarter, we continued to perform in line with our strategy, progressing in all our businesses and delivering positive results in each of them. In particular, in E&P, we achieved as planned five main start-ups. This together with the contribution of ramp-ups and increased Libyan production contributed to a volume growth of more than 7%, or 3.7% net of PSA and portfolio effects. Development activities are progressing well. In particular, Perla is on track to start up in June and [indiscernible] at the end of July, following the arrival of SPSO in Norway a few weeks ago. Exploration successes continued with near-field discoveries in Egypt, Libya and the upgrade of our Merakes discovery in Indonesia. In mid-downstream, all segments were profitable achieving in total more than €400 million of EBIT, thanks in Gas & Power to the improved competitiveness of our gas contracts and more favorable weather condition, in R&M and Chemicals to better margins and the result of our continued turnaround. As a consequence, the company generated an operating cash flow of €2.3 billion. This combined with CapEx in line with the guidance and the positive exchange rate effect allows us to keep our leverage unchanged at 22%, notwithstanding the steep fall in oil and gas prices. Q1 adjusted operating profit amounted to €1.57 billion, around €1.9 billion lower than last year. This drop was driven by the negative scenario, which accounted for €2.5 billion, partially compensated by our stronger industrial performance that improved by €600 million. All our businesses recorded positive adjusted operating profits, reflecting the implementation of our turnaround program. The adjusted net profit amounted to €648 million, benefiting from €185 million gain from the fair-valued interests in Galp and Snam that in fourth quarter – in the first quarter 2014 accounted for €65 million. Turning to E&P. Hydrocarbon production was 1,697 BOE per day, 7.2% higher compared to the first quarter of 2014. Excluding both the PSA and portfolio effects, product increased by 3.7%, thanks to the new fields start-up, to mention the most important, Hadrian South and Lucius in U.S., Nené Marine in Congo, West Franklin in U.K. and Eldfisk Phase 2 in Norway, and the production ramp ups mainly in Angola, Congo, Egypt and the United States. Production levels also benefited from better performance in Libya, which included the volumes of the deal, are linked as store [ph] gas testing to the local market. Operating profit was affected by the decline in oil and gas prices, which accounted for €3.2 billion versus the third quarter 2014, partially counterbalanced by higher production volumes, lower exploration and operating cost as well as a favorable exchange rate. Gas & Power. Gas & Power adjusted operating profit amounted to €294 million. This result has been achieved leveraging on gas contract renegotiations including two achieved this quarter and the positive retail performance driven by higher sales in certain European countries, main in France and more favorable weather condition compared to last year. This result represented 21% increase this was the first quarter of 2014 debt as you might remember benefited from the stronger attractive contribution of the contract with Statoil. In term of adjusted operating profit split, one-third came from midstream, which in this quarter was at breakeven also without the retroactive benefit of the two renegotiations recently finalized. The remaining two-thirds came from the retail business that generated double profit; double the level of the first quarter of 2014. Turning to R&M and Chemicals, now combining to one business segment, which is now the organization in place since May 2014. This business showed a marked improvement year on year with an adjusted operating profit of €121 million, leveraging on both scenario and industrial improvements. In particular, there refining results benefited from a strong margin increase versus first quarter of 2014 along with continuing operating announcements. Capacity utilization rate were 79%, up 11 percentage points versus last year as consequence of our reduced capacity and the positive scenario. We confirm that the breakeven margin is now in the range of $5 per barrel and we are on start to lower it to $3 per barrel by 2018. Chemicals operating performance of 29 million improved by 111 million versus last year, reflecting higher margins due to temporary market shortage of certain commodities as well as inefficiency gains. Finally, the debt evolution. Leverage remains flat at 22% despite growth in oil and gas prices. With €2.3 billion operating cash flow, together with €0.5 billion proceeds from disposals funded almost the totality of the €3 billion of capital expenditure incurred in the quarter. The net debt increased by around 1.5 billion from December 2014, also as a result of the negative impact of exchange rate differences of about 0.5 billion as well as other cash outflows including the payment of investments accrued in the previous quarter. We confirm our leverage guidance for year-end within about 30% ceiling. And now together with some colleagues, I am ready to answer any question you may have. 
Operator: Ladies and gentlemen, the Q&A session is now open. [Operator Instructions] Thank you. First question comes from Mr. Oswald Clint from Bernstein. Mr. Oswald Clint, please.
Oswald Clint: Yes. Thank you very much. Good afternoon. Massimo, thank you. Question on disposals, that little and they are quite lights in the first quarter so far, obviously you have a target for the four-year plan and this year. I guess, could you talk about where you are in terms of assets disposals and when we would might some of those for 2015? And then secondly a question on gas and power, just curious if you are seeing or if you expect to see any greater demand for your pipeline gas as the lower oil price filters through those kind of long term oil link contract versus kind of spot prices or some of the LNG imports. That's my two questions. Thank you. 
Massimo Mondazzi: Okay. Thank you very much. So as far as disposals. First of all, I would like to alight [ph] that we have already achieved around 500 million of disposal mainly in Nigeria and that definitely as I – already outlined due to previous discussion of conversation that we have to – from now to the end of the year, the value of the Galp share that would be in the range of – looking at the current optimization of the company at 650 million or so. More or less, what we could say today that we are more or less half of the way to the [indiscernible] by 2015 that you may remember would be in the range of 2.6 billion. As far as the remaining part of the – plan you might recall that there are some number of transactions ongoing, some of them are quite well advanced, so what we had today that we remain confident that the – target that we announced 12 months ago that is still achievable and as far as the pipeline maybe I lead the ground to Marco for the answer.
Marco Alverà: Thank you Massimo. So we do see some recovery in demands and Italy the first quarter demand was around 24 billion compared with 21 billion cubic meter meters of previous Q1 of 2014, a lot of that has to do with weather but we are seeing on the power side also some growth bringing that to the full year, we expect the management recover in Italy to around 67, 68 billion cubic meters up from what was 61.5, 62 billion cubic meters in 2014. So at the European level that sound range, demand for 2015 around 450 billion cubic meters again with some recovery. So I would say part of that is weather part of that is on the power sector gas and some hours being competitive especially in the U.K. against coals. On the LNG fronts weak demand in Asia, we expect some cargos to come over to Europe but not to change the overall demand picture significantly.
Oswald Clint: That’s great. Thank you very much both.
Operator: Next question comes from Mr. Theepan Jothilingam from Nomura. Mr. Jothilingam, please.
Theepan Jothilingam: Yes, afternoon gentlemen. Three questions please. Firstly, I was wondering if you could breakdown the increase or the year-on-year change the 600 million that you talked about the train cost. So, have we improved our timing and renegotiation on the gas contract? And secondly, you talked about the cash flow being around 3.3 billion for the quarter, I was just wondering do you feel in this type of oil press environment, you’ll still be able to cover certainly your CapEx commitments for this year on an underlying basis? And my third question was just on Mozambique and the FID of FLNG, could you give us an update if that’s still proposed or plan for the middle of 2015? Thank you.
Massimo Mondazzi: So, thank you very much. And about the 600 million of industrial improvement, we accounted for in the first quarter, you asked for breakdown. So, I would like to say around one-third is coming from MP [ph]. It is made mainly by a reduction in OpEx and a reduction in exploration cost. As far as OpEx, I’m pleased to say that we confirmed in the first quarter and we keep on confirming along with the full year, our target to reduce the OpEx. Today we are in the range of 7.4, if you remember we started at the end of 2014 with an OpEx bordering the range of $8. So, we are confirming the target we gave during the strategic presentation. And as far as exploration, we are in line with what we disclosed the target in terms of expenditure, you must remember that this year we are mainly focused on field exploration that’s the reason why we are, I would say spending a little bit less. But what has been achieved up to now in terms of new resources this quarter is that anyway relatively weaker number, because we are talking about 180 million of barrels of oil equivalent, and we’ll be – Lucchini [ph] is here with me could give you some more detail. And what I could say that notwithstanding the reduction in capital expenditure affected by this year that we really think that what we are drilling or we intent to drill all along this year give us a very, very good expectation and we are very well confident that the target of 500 million boe of new resources all along this year will be definitely achieved if not overtaken. The remaining part, the two-thirds, certainly 100 million are coming from the retail that as I said, performed double results versus last year. Also thanks to the -- I would say, more favorable weather conditions. And around 150 million are coming from the refinery, because I would say on top of the, I would say, the margin that has been much higher than the margin we record in the first quarter of 2014. We are now collecting the -- say, the gain after the turnaround exercise we put in place starting from 2014. And then the other minor, I would say, that result including the chemical one that recorded more than 100 million out of which just few coming from a better scenario and the remaining part related to the higher demand and again as a result of the efficiency program we put in place starting from 2014. So that's the broad view that excluded the renegotiation effect of the long-term gas contract that we are taking apart. But, anyway, are giving a significant advantage this quarter versus the first quarters of 2014 benefited from a strong contribution linked to the Statoil contract renegotiation. As far as the cash flow and commenting the 2.3, the broad comment is the following one, at the first quarter we have definitely is not the best one in terms of cash generation, because of I would say some seasonality, mainly in retailing business, because this is the big quarter for retail. But definitely due to the fact that the cash in is at least two months after the delivery of gas. And definitely what is being billed is not being cashed yet. And this is causing something in range of 1 billion of increase in working capital. And then definitely, what we’re suffering a little bit about the increase that you – that was being announced by Saipem the expedited gain is something that more or less is seasonal and that non-working declare the expectation is the reduction in the net financial acquisition of Saipem. So as we recall that there will be 1 billion retail, we expect to recover also that the working capital increase announced by Saipem. And then this 2.3 million has been some way, I would say linked by the decrease in the stocks and refinery. They are coming definitely is benefiting over very high margin but at the same time due to the fact that the planes are running much faster than in the previous periods. So it means that in order to feeding plan, we increased the amount of stock that is being brought just to supply the facilities. And then the gains will do something that someway has created a softer limitation. But having said that and performing a very -- I would say broad and general exercise. I’m thinking about what we said during the strategy presentation so that the target that for the first two years for 2015 and 2016 would be to match the CapEx. But by the way, this little exercise has been performed with the Brent average price of $63. So the average between 55 is for as 2015 and 70 is for as 2016. So this 2.3 has been achieved at the 54. We have the sensitivity for every dollar of around 150. So if you’re broadly speaking, multiply by four the 2.3 add on – I would say 1.5 billion in terms of differential in Brent price. And you add on some contribution from working capital that we still expect that remaining nine month of this year you will see that the 12 billion of CapEx that remained our guide as per as 2015 will be matched and will be I would say particularly match one year in advance because on top of the Brent recovery definitely the expectation we made was based also on the recovery on gain in the industrial side. I mean in additional production from E&P in the end of the turnaround plan in the non-upstream businesses. So, just to conclude, I will say that this result of 2.3 represent something more that was we expected when we launched the four-year plan. And then as far as the Mozambique, I'll turn to Roberto that is here with the--
Roberto Casula: Thank you, Massimo. About Mozambique, specifically Coral, all activities are progressing as planned. You probably remember, we submitted at the end of 2014 the final development plan for Coral. We continue the engagement with the authorities very fruitful and proactive engagement. So, we do expect the approval of the final development by third quarter 2015. At the same time, the major tender activities are ongoing. In particular the one for the floating LNG is expected to be completed in terms of receiving taken telecommercial offers in the next couple of months. Let's say that by the end of June, we will have the full picture of the project. At that point, we will finalize everything and we'll be ready for the final investment decision. Also an important part if the sale of gas and maybe Marco can say some words about that.
Marco Alverà: We're discussing on the commercial terms with a number of parties. Discussions are progressing well. And we're perfectly in line with the project timetable to confirm FID later in the year.
Theepan Jothilingam: Thank you gentlemen.
Operator: Next question comes from Ms. Lydia Rainforth from Barclays. Ms. Lydia Rainforth please.
Lydia Rainforth: Thanks. And I have two questions if I could. Good afternoon everyone. First one, just going back to the €600 million of because margin, is that why you expected to be at this stage in the year or are you actually seeing the better progress than you might anticipated. And then the second one was really on the accounting side, the merging of the Chemicals and the Refining & Marketing businesses together within the results. I think last -- it was May last year when Claudio announced the new structure, should we actually think about the change in terms of the result, purely being an accounting one or are the two divisions actually working together distantly on an operational basis to what they were a year ago. Thanks.
Massimo Mondazzi: Okay. So, as far as the gains the 600 million, but more or less, we are where have image to be just I would say 1.5 months after our strategy presentation leave here. So what we saw through the first quarter numbers that exactly all the actions we are putting place in four different businesses in order to get the final target we declare, so the breakeven in refining and marketing in 2015. The breakeven, the structural breakeven in Gas & Power in 2016 and in the same year structural breakeven in petrochemicals are going ahead. In line I would say a bit ahead of schedule on this respect. So definitely the scenario someway is helping us to reinforce these results. That’s the reason why we experienced positive results this quarter in all business including refinery is including chemical. Definitely, I would say as the new conventional is not something just related to the accounting. Chemical and refinery are working I would say a closer together. Thanks to the new transition starting from I would say the supplies that now is even more integrated from this respect. We are after eight months still I would upgrading some process, but I would say we are happy, we definitely confirm the goodness of the decision we took.
Lydia Rainforth: Okay. Thank you very much.
Operator: Next question comes from Mr. Mark Bloomfield from Deutsche Bank. Mr. Bloomfield, please.
Mark Bloomfield: Good afternoon. Thanks for the opportunity. First of all on production, just wondered if you could remind us the volume produced in or if this quarter and how long you expect our volume to be sustained or is that going to be continued into 2016? And then secondly, turning to Gas & Power, just wonder if you could give us a sense of the work – you may have enjoyed this quarter from any release of gas cycle prepayments? Thanks
Marco Alverà: Okay. So I’ll leave the ground to Massimo to answer the production question.
Massimo Mondazzi: Thank you. The production is going to contribute for the next four years and within all the volume will be allocated to Eni on the last say 25 years from the Galp and one end feel that what people feel in Libya and storage in Snam. The contribution is going to be between 60,000 to 65,000 barrel per day.
Marco Alverà: On gas and power, hi Mark its Marco. I would say on the retail front, the Q1 usually absorbs working capital as we sell more gas than other quarters. But we also draw gas from storage, the retail effect is quite neutral. We have about a 150 million of take or pay recovery in the quarter which is an improvement obviously at working capital.
Mark Bloomfield: Thanks.
Operator: Next question comes from Mr. Hamish Clegg from Bank of America/Merrill Lynch. Mr. Clegg, please.
Hamish Clegg: Thank you. Good afternoon gentlemen there, few question I had. Just first of all in refining you mentioned there was sense of competitive pressure and reach out the model slightly lower as well. Can you tell us if there is any hedging at all in your refining business because it was somewhat lower than Q4? Second question is, I was wondering if you could maybe update from Libya and how are you managing to deliver such brilliant volumes out of the country, so many people struggling in? And my third question was, could you maybe tell us a little bit about your approach to execution and what gives you the confidence? Is it to do is your engineering capacity that you’ve recently acquired in last 12 months and how are you taking a great control over individual project because 2.5% growth target is ambitious in your four year plan? And I wondered if you could just help us understand what gives you the conviction in that target?
Massimo Mondazzi: Okay. So I will give you answer about the refinery. I saw you noted the difference between the contribution for fourth quarter over the refining and marketing versus the first quarter this year, so definitely a part of the difference is related to the marketing part of the business because the first quarter naturally the lowest all along the – so the part of the difference related to this. And as far as the refinery gets the result seen I would say limited by a negative effect of some hedging because at the very beginning this year when we saw significant higher margins and expected the drastically they’re trying towards the year end, we decided to hedge part of the refinery capacity. And so this result is, I would say is discounting in the just testing the number something to range of €40 million of penalization because of this.
Hamish Clegg: Okay.
Marco Alverà: And then Libya.
Massimo Mondazzi: Okay. Libya is – we are producing in the range of 300,000 barrels per day. And our operating company is Mellitah Oil & Gas. It’s accounting 5,000 Libyan employees. And most of our production as of today is coming from Sabratha, Bouri oil field and Wafa. And gas production is the majority in condensate. Because we are delivering a quite large amount on local market, we are moving between 10 million to 13 million standard cubic meter per day on power plant. And those guys on the oil company, which is protecting the requirements for the local power production. At the same time, we are continuing our exporting from the same location of Mellitah.
Marco Alverà: About our approach on projects we started some time ago about having more grip on all the different phases of the project. Starting from engineering, we have our engineering companies and so responsible for basic design and front-end engineering design. This allowed us also to develop some more standardization and modularization of systems and modern equipment. And other important tool is represented by the framework agreement, contractual framework agreement with major supplier. So, overall this give us the confidence that we are able to control time and cost of the significant project, as you mentioned earlier in our courier plan. But I have to tell you that for instance this year things are going already very well, because out of the 170,000 barrels of oil per day, we are expecting to start a new ramp-up already in the first quarter, we secure 116,000 barrel a day and the remaining part will come with [indiscernible] as Massimo said, we are definitely on contract. You should remember also that 50% of the 650,000 barrels of oil per day, we are expecting in 2010 a relevant to production ramp-up of 2014, 2015 project and with the new FID, with five FID we are expecting this year, we will be able to secure 100% of this objective.
Hamish Clegg: Thank you very much.
Operator: Next question comes from Mr. Martijn Rats from Morgan Stanley. Mr. Rats, please.
Martijn Rats: Yes, hi. Good afternoon. Two things from my side. First of all, I wanted to ask, quite a few companies have reported quite strong oil trading results in their downstream businesses. I was wondering if Eni also enjoyed a similarly strong oil trading results. And secondly I wanted to ask about Egypt, just couple of weeks ago, you announced this sizable investment program in [indiscernible] this morning. It’s sort of quite a sizable amount of spending at rather interesting point in the cycle and I wanted to ask what you are seeing in the Egyptian investments that is making you likely so much at this point in time. Thank you.
Marco Alverà: So on the oil trading – it’s Marco, hi. I would say that we do less of the contango capture and of the pure speculative or proprietary activity on the oil side. We have some interesting profits coming from our gas trading, which is integrated together with our oil trading, using our flexibilities that’s asset-backed trading. So you would see less of that compared to others who enjoy more third party and proprietary trading activity.
Martijn Rats: Okay and try to give you an answer about Egypt.
Marco Alverà: Okay, on Egypt after we have signed the head of agreement in Shama [ph], the negotiation took place immediately with the oil ministry. And we are planning to close within the first quarter all the items within the head of agreement.
Massimo Mondazzi: So you remember Martijn that the main objective I would say were three, the revision of some close of the main contract there, the revision of the gas price that definitely the issue because the gas price that is very much subsidize in Egypt was limiting significantly to develop our new gas resources. At the end of this story, we will see this company as I would say very -- a very special case importing some LNG. And so the definitely part of the agreement is the, I would say, the timeline to recover our outstanding. So all of these are very positive because it give us the opportunity to exploit the resources or reserves that we know very well, because they are located in reservoir that from which we are producing things, I would say, the lime at 1956. All this gas discovery we are talking about have been discovered by us. And definitely it will in a, I would say, protected environment thinking about the outstanding recovery will allow us to exploit a significant amount of new resources. The significant part of them already included in the CapEx spend that has been announced during this strategy. Just few of them will be added, but at the same time we will have an addition in terms of production and in terms of resources.
Martijn Rats: Okay. Thank you.
Operator: Next question comes from Mr. Biraj Borkhataria from Royal Bank of Canada. Mr. Borkhataria, please.
Biraj Borkhataria: Hi. Thanks for taking my questions. Two, if I may. Firstly for Marco on Gas & Power. It remains one of the more volatile divisions for you on a quarterly basis and I appreciate that you only gave your update kind of few months ago. But it does seem to be running ahead of that plan. So I was wondering if you could provide some color on whether you see some upside relative to your expectations at the end of 2014. And then just a quick update on cash, again, if you don’t mind, what are the latest steps there. Are you still confident in the later 2016 start-up. Thanks.
Marco Alverà: So Biraj, there is a slight improvement. So we were giving a guidance of breakeven assuming to close all pending arbitrations. The main one being the one which gets better. I think we are ready to upgrade that to seeing margin of a positive results in case of the closet. So not to extrapolate the Q1 improvement and multiply that. I think we are slightly more optimistic with volatility still there in Q1 and still one of our stronger quarters.
Massimo Mondazzi: Okay. So on cash again we have already received the first batch of material, okay. And probably next month they will start welding. So as of today, we are still believing on the schedule to expect that on the second quarter 2016.
Biraj Borkhataria: Thanks very much.
Operator: Next question comes from Mr. Thomas Adolff from Credit Suisse. Mr. Adolff, please.
Thomas Adolff: Hi. Good afternoon. Three questions, please. First one is on the slide seven. The 700 million negative impact from others, you obviously said its payment related to investments in crude in the past. I wondered where your balances stand today, I am seeing there is no [ph] going forward and also where they – you can give a bit more color on the 5 million FX, what exactly that is . Second question on the refining restructuring plant that you announced over a year ago, you [indiscernible] little bit quite on the other plants. I wondered whether that's still moving ahead as planned or whether are you just taking your time given the margin environment is somewhat more favorable. The third point is on Mozambique, I think you have been saying for some time that if not encouraging discussions on securing of stake, I guess industry expectations pretty much is wait and see mode and no one really expects to be able to secure any some SPEs given -- SPAs given time before you haven’t pricing mechanism. So I wondered whether if you can give a bit more color on what discussions you are having and that aside on Mozambique, I also wanted to know whether your intention is still time out another state given that's also being going on for some time? Thank you. 
Massimo Mondazzi: Okay. Thomas, thank you very much. So as far as 0.7, those are slide number seven, I said that the majority of this refers to payment of investment accrued in previous quarter, they amount to something in the range of 0.4, 0.5 out of the 0.7 overall. And we think that these amounts would be overall recovered overall cash flow all along this year. As far as the refinery, definitely we are pleased to see this very favorable environment, but we believe that it will last some time. But it will get back to the expectation at the end of this year beginning of 2015. So we are still, I would say, stick on the plan we announced, so mainly to reduce one additional 20% our capacity. And on this respect, we are I would say in schedule that would be achieved from now to the next two years. And then…
Marco Alverà: On Mozambique, its Marco, let me try to add some color. I would say first point is, compared to our internal timetable and the project timetable everything is on-track, so we haven’t had any mixing of commitments or timings also in the commercial discussions. There is a lot of interest because of the nature of the project the size of the project, the geography of the project and as a Roberto said, rather simple nature of the project so number of buyer see limited execution risk, when it comes to the future stages of the project compared to other projects. On the pricing front certainly there has been a shift, a lot of the people who had moved in Asia to aggressive Henry Hub pricing and are now reconsidering the oil pricing have halted some Henry Hub base discussions and this is only positive for project like ours which is oil. Regarding the longer term oil outlooks, I think the curves haven’t moved that much and so we are talking about the same levels with the buyers. So I hope that’s helpful.
Thomas Adolff: I think on the farm out and also FX difference, sorry I had quite a few questions?
Claudio Descalzi: Farm out I would say, I have just commented about disposal and I have nothing to add about that. So, because obviously technically the strength of this. So and as far as the foreign exchange this is related to the, I would say, the pure exchange rate of conversion from dollar to euro, nothing special.
Thomas Adolff: Okay. Thank you very much. Operator: Next question comes from Mr. Jon Rigby from UBS. Mr. Rigby please.
Jon Rigby: Hi, just a couple of points just want to raise. The first is one the re-segmentation, two things, on the earnings transfer which is -- looks considerably to be from Refining & Marketing and Chemicals to Gas & Power, is that related to the oil trading activities? I mean referenced it, but I don't think it's not clear to me anyway where the actual movement is. And just add a representation really of the level of earnings is being generated by those activities. And then secondly on that point, can you just confirm that the EBIT targets, cash flow targets, et cetera, by segments remain same, are not affected by the re-segmentation? I'm guessing not, but just confirm. And then going back to the disposal program, I know in the discussions we had in March, there's a big chunk of the disposal program is exploration which on the face of it is quite an attractive thing to be monetizing because there's no earnings and cash flow that sit with it. So, it’s clearly hugely accretive transaction is you can do it. So, taking on both how you didn’t want talk about Mozambique, but can you just maybe give some color on progress towards that? And should we expect those transactions to be towards the latter end of your plan period to coincide with the rise in the oil price or do you expect your view and from your discussions of the market that it’s a fairly oil price incentive transaction? Thanks.
Claudio Descalzi: Okay. Thank you [indiscernible]. So about the resegmentation, I would say the main rationale is the following one. So nothing to do, I would say with the trade-in that definitely will help, and it is something that has been done. But the real rationale refers to the industrial location. So the majority of the planning in refinery and chemical are located in Italy, and the majority of them are leading exactly the same issue. So the rationale has been to put under the same responsibility the management of the issue that is absolutely common between the two businesses. And, definitely, this is a management approach is a method of responsibility and nothing to do with the redefinition or, I would say, change in the guidance that definitely remain exactly the same. As far as disposals, definitely, I’m afraid there is a confidentiality issue. But I would say that some discussion – quite a healthy discussion we are having refers to – also refers to exploration assets. So, yes, you cannot say that you’re close until the very end but we are confident that at least one of them can be concluded by this year-end.
Jon Rigby: Okay. Well, that would be encouraging. Thanks.
Operator: There are no more questions at the moment.
Massimo Mondazzi: I think that this is the end of this conference call, and I thank you all for your question and your comments.
Claudio Descalzi: Thank you very much. Bye.